Operator: Thank you for joining Packaging Corporation of America's First Quarter 2019 Earnings Results Conference Call. Your host today will be Mark Kowlzan, Chief Executive Officer of PCA. [Operator Instructions] I will now turn the conference call over to Mr. Kowlzan, and please proceed when you're ready.
Mark Kowlzan: Good morning, and thank you for participating in Packaging Corporation of America's first quarter 2019 earnings release conference call. I am Mark Kowlzan, Chairman and CEO of PCA, and with me on the call today is Tom Hassfurther, Executive Vice President, who runs the Packaging business; and Bob Mundy, our Chief Financial Officer. I'll begin the call with an overview of our first quarter results, and then I'm going to turn it over to Tom and Bob, who'll provide further details. I'll wrap things up, and then we'll be glad to take any questions. Yesterday, we reported first quarter net income of $186.8 million or $1.97 per share. First quarter net income included special items expenses of $0.01 per share related to the discontinuing paper operations associated with the conversion of the No. 3 machine at our Wallula to linerboard. Excluding special items, first quarter 2019 net income was $187.3 million or $1.98 per share compared to the first quarter 2018 net income of $146.9 million or $1.55 per share. First quarter net sales were $1.73 billion in 2019 and $1.69 billion in 2018. Total company EBITDA for the first quarter excluding special items was $371 million in 2019 and $322 million in 2018. Excluding special items of $0.43 per share increase in first quarter 2019 earnings compared to the first quarter of 2018 was driven primarily by higher prices and mix of $0.37 and volumes $0.27 in our Packaging segment, higher prices and mix in our Paper segment of $0.21; lower annual average expenses $0.02 of lower depreciation expense $0.02. These items were partially offset by lower volumes in our Paper segment primarily due to the exit from the paper business at Wallula of $0.13 and higher operating and converting costs totaling $0.27 per share. These higher costs were primarily due to inflation-related increases with wood fiber and chemical costs, labor and benefits expenses as well as indirect costs such as repair and operating materials, outside services and equipment and building rental expenses. In addition, we experienced significant weather-related challenges across the company from extremely cold temperatures and flooding that negatively impacted production, fiber, fuel and repair costs for the quarter by approximately $0.06 per share. Results were $0.01 above the first quarter guidance of $1.97 per share primarily due to higher prices and mix in both our Packaging and Paper segments. Looking at the Packaging business, EBITDA, excluding special items in the first quarter 2019 of $334 million with sales of $1.5 billion, resulted in a margin of 22.6% versus last year's EBITDA of $308 million and sales of $1.4 billion or 21.9% margin. Our containerboard mills established a new first quarter volume record while running our system through demand and managing numerous weather-related challenges across the entire mill system. Our containerboard production allowed us to maintain our industry-leading integration rate by supplying the necessary containerboard to our box plants, which achieved a new all-time first quarter record for total box shipments as well as shipments per day. We ended the quarter with our inventories in good shape, and we continue to work through our scheduled maintenance outages and service our customer needs in a timely manner. I'll now turn it over to Tom, who'll provide more details on containerboard sales and the corrugated business.
Thomas Hassfurther: Thanks Mark. As Mark indicated, our corrugated products plants had record first quarter total box shipments as well as shipments per day, which were both up 0.7% compared to last year's first quarter. Outside sales volume of containerboard was about 33,000 tons below last year's first quarter as we ran our containerboard system to demand, supply the increased needs of our box plants and managed lower export volume. Domestic containerboard and corrugated products prices and mix together were $0.39 per share above the first quarter of 2018 and up $0.03 per share, compared to the fourth quarter of 2018. Export containerboard prices were down about $0.02 per share, compared to both the first and fourth quarters of 2018. Now I'll turn it back to Mark.
Mark Kowlzan: Thanks, Tom. Looking at the Paper segment, we had a first quarter record EBITDA, excluding special items, of $55 million with sales of $240 million or an all-time record 22.9% margin compared to the first quarter 2018 EBITDA of $31 million and sales of $269 million or an 11.6% margin. Market conditions remained favorable during the quarter, and we began implementing our announced price increases. Our pricing mix and sales volume were better than anticipated, and we were able to improve our freight and logistics costs as a result of managing our inventories back to a good level at the end of 2018 after running most of last year on allocation. Our mill system is running extremely well with an increased focus on our most profitable products. The low revenues compared to last year are a result of the exit from the paper business at our Wallula Mill. As we said a couple of years ago, we felt that we could improve our profitability and margins in the Paper segment by exiting this business at Wallula rather than continuing to allocate people and capital resources to it. And that's exactly what we're starting to see. I'll now turn it over to Bob.
Robert Mundy: Thanks Mark. We had record first quarter cash generation, with cash provided by operations of $236 million and free cash flow of $157 million. The primary uses of cash during the quarter included capital expenditures of $79 million. Common stock dividends totaled $75 million, $14 million for federal and state income tax payments, net interest payments of $6 million and pension contributions of $1 million. We ended the quarter with $442 million of cash on hand. I'll turn it back over to Mark.
Mark Kowlzan: Thank you, Bob. Looking ahead, as we move from the first quarter into the second quarter, in our Packaging segment, we expect seasonally higher containerboard and corrugated product shipments with lower prices as a result of the published domestic containerboard price decreases and lower export prices. In our Paper segment, volumes should be similar to the first quarter, and we will continue implementing the previously announced paper price increases, but scheduled outage costs will be higher due to the annual shutdown at our International Falls mill. Across both segments, we anticipate slightly higher freight, repairs and certain fixed costs as well as higher share-based compensation costs due to the accounting treatment of restricted stock. Energy cost should improve as we move into the seasonally milder weather. Recycled fiber prices should be slightly lower, and our effective tax rate should be lower. Considering these items, we expect second quarter earnings of $2.05 per share. With that, we'd be happy to entertain any questions. But I must remind you that some of the statements we've made on the call constitute forward-looking statements. The statements were based on current estimates, expectations and projections of the company and do involve inherent risks and uncertainties, including the direction of the economy and those identified as the risk factors in our annual report on Form 10-K on file with the SEC. The actual results could differ materially from those expressed in the forward-looking statements. And with that, Zatanya, I'd like to open the call to questions, please.
Operator: [Operator Instructions] Your first question comes from the line of Chip Dillon with Vertical Research Partners.
Chip Dillon: Hi, good morning, Mark, Tom, and Bob.
Mark Kowlzan: Good morning, Chip.
Robert Mundy: Good morning.
Chip Dillon: I wanted to ask a couple questions about the white paper business, which I think had the best quarter we've ever seen since you bought Boise. As we look at the second quarter and then the second half, can you give us an idea of kind of how much of a hit or decline in the second quarter we would see versus the first because of I Falls? And I don't know how much of the price increase you feel comfortable asking us to assume. And then how - would the operations likely bounce back to where they were in the first quarter by the third quarter in that segment?
Mark Kowlzan: I'll let Bob, give you the outage impact costs for the…
Robert Mundy: Yes. Chip, in the second quarter, from the first, there's about $0.06 related to the I Falls outage. And there'll be some additional labor and some other fixed costs that will be up relative to the first quarter. But as we said, pricing - we'll continue to implement the announced price increases as well.
Mark Kowlzan: And then with regard to volume, we expect volume to - as you would look at the seasonal impact, seasonal impact should be moving up as the summer comes on here. Back-to-school will start in the June period. And so volume should be up as we'd expect. Also, we're able to build our inventory, so we'll be able to sell out of our inventories. So in terms of volume, the outage at I Falls won't impact our ability to satisfy the customer demand.
Chip Dillon: So if I hear you, and we decide to assume you got a lot of this pricing, you could actually have sequentially flat or even up earnings in that segment?
Thomas Hassfurther: We'll see. It should be certainly a good quarter though, Chip, relative to our history for sure.
Chip Dillon: Okay.
Mark Kowlzan: And then you have to expect, Chip, with the outage behind us in the second quarter, 3Q, without an outage and again continuing back-to-school-type sales volume, 3Q should - you would expect would be another good quarter in terms of our EBITDA generation.
Chip Dillon: Terrific. And then one other question I had just on that segment is we've seen some - if you could just update us on where we stand in terms of tariffs, et cetera. I know that some of the demand kind of faltered if we look at some of the data in the last couple months. And yet I know that in the past, there have been some trade, I guess, some tariffs put on because of a dumping by other countries. I think there were five involved. And could you just update us on where that stands? Are those tariffs still in place and as a way to impact the U.S. market?
Mark Kowlzan: Chip, for all intents and purposes, the tariffs are still in place. And as you would have expected with the industry announcements earlier in the first quarter with the capacity coming out, customers, quite frankly, had to rely on the imports or the export market from the rest of the world supplying some of their needs. So they did go and seek some of the import capacity to satisfy their demand. Quite frankly, the domestic capacity could not, at that point in time, supply the needs. So we're seeing somewhat of a rebalancing of how the industry's supplies itself in terms of the customer base. So it's not surprising that imports have picked up. That's a natural reaction.
Chip Dillon: And then last question. Mark, as you know, a few weeks ago or last week or so, a major producer down in Brazil announced that they were going to build containerboard capacity using eucalyptus. Although I seem to think that they are making a very lightweight grade, do you have any thoughts about - we've never really seen a hardwood-based containerboard, that I've seen at least, that's been widely usable. And I didn't know if you had any thoughts about that.
Mark Kowlzan: Well, I think you just summarized it. It's short fiber. Traditionally, short fiber does not satisfy the performance requirements of a traditional high-performance demand container. Quite frankly, eucalyptus or mixed hardwoods fall into the category of being able to produce a container that's akin to a folding carton type of Packaging material. So it would be in the lightweight, super-lightweight container, which remind all of you, is a very - the demand is small. The volumes are small worldwide. So it'll certainly, in my mind, be a real niche product.
Chip Dillon: Understood. Thank you.
Robert Mundy: Next question, please.
Operator: Your next question comes from the line of Mark Connelly with Stephens.
Mark Connelly: Mark, there was a lot of chatter early in the quarter about PCA losing a big customer, and you clearly aren't showing a lot of signs of distress from that. Can you remind us what your customer base looks like and how you think about individual customer gains and losses?
Mark Kowlzan: Yes. I think on the January call, we talked about that. But primarily, that was business - from our Sacramento Container acquisition. And we talked about that in terms of a competitor had purchased the sheet piece of that business. And so that's some of the business we've been having to make up for. But other than that, that was the big component. Tom, you want to add some color to that?
Thomas Hassfurther: Yes. Mark, I think you're probably referring to the rumor that was going around that it mounted to something like 10% of our volume or something like that. I'm going to remind you, as we've said many times; the makeup of our customer base is 10,000 strong in lots of different industries, lots of different markets. And our largest accounts are, on a relative basis, are a small percentage of our total. So it's very well spread out, so we don't have anybody even in that category. What Mark was referring to earlier, I think, was we discussed the loss of a couple of large sheet accounts that we had out in Sacramento. And those were purchased by somebody. So as you know, one of those events that you can't help. But it was impactful to Sacramento, but I mean, obviously, in the big scheme of things, you don't see that large impact for us.
Mark Connelly: That's helpful. Just one more question. Can you talk a little bit more about the progress with your new box plant? And you've talked in the last couple of calls about significant number of box plant optimization projects. Can you tell us how that's going to affect your overall system and what it's doing to your integration levels?
Mark Kowlzan: First part of your question with regards to the new plant out in Richland, we had a little bit of a weather delay starting breaking ground, as you would expect, the Pacific Northwest had some of the worst weather 100 years. But all in all, we're still on schedule for the end of the year start-up and the box plant. Everything looks good. We're very pleased with the design we've put down. And then for the very first time again, we have a new oversight in terms of we teamed up the mill project management team with the corrugated packaging operational and project team. So we've got quite a formidable group putting this plan together. Tom, you want to add to that?
Thomas Hassfurther: Yes. I would just also add that keep in mind that when we bought Wallula, the box plant there was really stretched for an ability to add any capacity. We did what we could over a short period of time. And we're - so this is all customer-driven. I mean we need more capacity up there to satisfy our customers' needs. We're not - I've said it before it. We're not a build it and hope they will come type of company. We're doing this to satisfy real demand. And any of the other optimization projects that we have are driven by customers or driven by labor markets, where it's a very, very tight labor market and we need to go a little more automation.
Mark Connelly: Super. Thank you, Tom and Mark.
Mark Kowlzan: Thank you. Next question, please.
Operator: Your next question comes from the line of Mark Weintraub with Seaport Global.
Mark Weintraub: Thank you. One question is, as a bit of a follow-up, could you provide the outage expenses by quarter this year? I know you mentioned I Falls being 6% more 2Q than 1Q?
Mark Kowlzan: Yes. Mark. There's no different than what we gave on the last call. We expect $0.18 in this second quarter, $0.08 in the third and $0.14 in the fourth. They were about $0.19 in the first quarter this year.
Mark Weintraub: Okay. Thank you. And Wallula, can you give us a sense as to whether or not you are now at kind of full profitability mode on the - with the second leg of the conversion having been completed or whether there is still upside as we progressed through the year?
Mark Kowlzan: We talked about this in January about on a run rate basis. So we've got capacity for the next couple of years to supply the system off Wallula capability. And so we're not at the full run rate, that machine was a modified to produce 100,000 tons a year. And so we are not running to the 400,000 ton a year capacity. That's part of within our statement we talked about running to demand. We're running to supply our needs, but the additional capacity requirements into the future next couple of years will come from the final supply off Wallula.
Mark Weintraub: Great. And then lastly, could you give us a sense of box shipments April to-date?
Thomas Hassfurther: Yes, Mark. Through 15 days - we're up a 0.5% through 15 days. So we're - again, remember these are some - we got some tough comps from a year-ago, especially given the Sacramento situation that I talked about, and also demand was good last year as well. So we're off to a little - what we'd consider to be a little bit of a slow start in April, but we see the second half being a little bit better.
Mark Weintraub: Okay. And had you seen the slowing in March that showed up in the statistics?
Thomas Hassfurther: Yes. Yes. I think a number of factors were baked into March. One is, if you look back a year-ago, I think the - if I recall, I think the March number was up like 6.5%. So it was an incredibly tough comp. Given the fact that the year didn't turn out to be a nearly at anywhere near 6.5%. You had a lot of weather related issues. We certainly suffered a lot of shutdowns in a lot of our box plants, whether it had to do with snowstorms, polar vortex, flooding, you name it from East Coast to West Coast. I mean it seemed like there was an event going on every week during the month of - well really, I mean February and March, but certainly during March as well.
Mark Weintraub: Thanks for all the color.
Mark Kowlzan: Thank you. Next question please.
Operator: Your next question comes from the line of George Staphos with Bank of America.
George Staphos: Thanks. Hi everybody. Thanks for the details. Thanks for taking the questions. I wanted to piggyback on the discussion on growth in box shipments that we've been seeing and recognizing that April has maybe started off a little bit more slowly. What we've seen the last couple of quarters for you and for others is kind of a good start to the first month of a quarter and then a deceleration the quarter has progressed. Would you agree with that and would you say that that is just a function of inventory patterns from your customers, maybe a little bit more caution in terms of holding inventory. So people ratchet things down as a quarter comes to close. Any thoughts on that would be helpful?
Thomas Hassfurther: Yes, George. I think given the fact that of course most of our customers and our large customers are global companies. They're reading the same news we're reading. One day things look good and other day globally you hear negative news. So I think there's a lot of - a little more knee-jerk reaction. I think that's going on right now, especially relative to inventories and we're seeing that same pattern you're talking about, where it starts off. The quarter started off a little stronger and then they kind of tail off and so it's - and we're talking to our customers. Our customers are not talking in terms of negative growths or anything like that. They're still planning to grow their business and they still feel bullish about their business, but they are managing their inventories very, very closely.
George Staphos: Okay. Thanks for that, Tom. Second question I had is just on basis weights and the question comes up periodically on the calls. And Mark, you were talking about earlier in terms of the codeine announcement. Are you seeing any different rate of change on the basis weights being used and the move or not to lightweights in the U.S. based on some views on trying to take content out of the package, trying to use less fiber, the move to perhaps optimize packaging at the ETL level? What are you seeing in terms of trends there? If anything is discernibly different than what you've seen the last couple of quarters and how do you think this is going to materialize the next couple of years?
Mark Kowlzan: Tom, why don't you go ahead and add some color?
Thomas Hassfurther: George, I'll tell you the trend is to performance. That's where the trend is and that trend bodes very well for us being a virgin-based containerboard system, because we've got better ability with - as everybody knows the long fibers, the formation of the fibers, et cetera. We have a much better ability to meet performance levels with the correct amount of fiber. And that's really where things are headed. We've talked about recycled in comparison, where you have to throw a lot more fiber added chemicals, et cetera. I think we're in a very, very good spot for where the trends are long-term right now and long-term for the box business.
George Staphos: Okay. Thanks for that, Tom. My last question and you might have mentioned, if you had, I'd missed it, how long do you think it'll take for wood cost in the south in particular to normalize relative to what we've been seeing here because of the weather? Do you think by the time we're done with 2Q, we're back to a normal period? Obviously, it'll to be dependent on the weather, which we can't predict, but any thoughts on that would be helpful. Thanks. And good luck in the quarter.
Mark Kowlzan: George, you answered your own question. We got harvesting season starting here in a month, so all bets are off if we end up with some of the severe southeastern hurricanes and Gulf of Mexico type hurricane or tropical weather activity.
George Staphos: All right. So then I'll take another one. Wisconsin box plant doing okay so far coming up the curve.
Mark Kowlzan: Yes. We are very pleased with that.
George Staphos: Okay. Thank you, guys.
Mark Kowlzan: Next question, please.
Operator: Your next question comes from the line of Scott Gaffner with Barclays.
Scott Gaffner: Thanks. Good morning.
Mark Kowlzan: Good morning.
Scott Gaffner: Hi, Mark. Tom, you gave us the April numbers. You talked a little bit about what happened actually in 1Q. The polar vortex and I think you mentioned some of the flooding in the Midwest, but can you give us the cadence of how box shipments for you sort of broke out during the quarter at the end of the day or month?
Thomas Hassfurther: I mean we were pretty steady throughout the quarter with the exception of March. I mean, we started out in pretty good shape and felt pretty good about March actually starting out. But then it kind of went into that tailspin and it was very much weather related. And of course, you know, I'm going to remind everybody, when we're down, our customers are down also. And when they're down, I mean, those orders are essentially gone. They're just not producing that day. So when they come back up, it starts production all over again. So wasn't as if we were down and our customers weren't. That's really what the impact was in March.
Scott Gaffner: Okay, fair enough. You mentioned Mark, I think in your prepared comments that freight costs, you thought it would be sequentially higher in 2Q versus 1Q. Are you seeing actual freight rates reaccelerate or what's driving that? Is it different freight patterns?
Mark Kowlzan: It's just some of the seasonal fright increase, fright adjustment timing.
Robert Mundy: And there's some mix in there as well, Scott, depending on when you have outages at certain mills and when you bring them back, there's a mixed factor that goes into that as well.
Scott Gaffner: Okay. And just last one for me. When you look at the outside sales, you said down 33,000 tons. I think that was a year-over-year comment on the outside sales. Was that regionally more difficult in one place versus the other? I mean, we've heard some weakness from customers in the Pacific Northwest. I don't know if it's down or if it's was more in the Southeast. Is there anything, any one region that was affected more than the other?
Mark Kowlzan: The 30,000 tons that you were referring to was the export. And very small amount of domestic, but primarily the bulk of that was the export year-over-year decline. And that was throughout - we shipped 30 some odd countries around the world and we saw that decline all around the world.
Scott Gaffner: Okay. Thanks, Mark. Thanks, Bob and Tom.
Mark Kowlzan: Thank you. Next question.
Operator: Your next question comes from the line of Anthony Pettinari with Citi.
Anthony Pettinari: Hi, good morning.
Mark Kowlzan: Good morning.
Anthony Pettinari: Your two big public competitors typically disclose the amount of market downtime they take if any, you mentioned running to demand in the release. Should we interpret that as you took some market downtime in 1Q and understand that's not something you want to do on a regular basis, but is it possible to quantify that?
Mark Kowlzan: Well, if you just do the math, if you look at what we produce for the first quarter and then, and you know what are our capability is now with Wallula in terms of our system capability. I think you can do the math. We never call out specifically the amount of downtime. I will say that besides the running Wallula number three to its demand requirements. We did take some downtime at mills like Tomahawk, Wisconsin on the number two machine, which is a smaller machine; and the Filer City, number one machine, which is a smaller machine. During that polar vortex period when gas was reaching astronomical levels and not only was the price, the spot price going to $150 a unit, but they were also curtailing operations for a few days. So we saw net-net a couple of days of downtime on the smaller machines in the Midwest. Other than that, it was just running the system to demand throughout Counce, DeRidder, just having to push the mills as hard as we might have to.
Anthony Pettinari: Okay. That's very helpful. And then just a follow-up question on fiber mix? Can you remind us your mix between virgin and OCC? And with OCC at $40 a ton, can you quantify sort of any opportunity to switch from virgin into OCC sort of at the margin at your mills?
Mark Kowlzan: We're still probably in the recycle 15%, 18% level in terms of the amount of OCC DLK that flows through the containerboard mills. Tom?
Thomas Hassfurther: Anthony, I'll also add that you say, can we make the switch. Not really because we, as I mentioned earlier, I mean we're selling performance base linerboards and we're not going to sacrifice our performance in the marketplace for our customers for what potentially could be a very short-term gain on OCC.
Anthony Pettinari: Okay. That's helpful. I'll turn it over.
Mark Kowlzan: Thank you. Next question, please.
Operator: Your next question comes from the line of Gabe Hajde with Wells Fargo.
Gabe Hajde: Good morning, Mark, Tom, Bob. Good morning. You mentioned Tom, I think about having a fairly diverse and customer set and I was curious if you could maybe comment at all what you're seeing in terms of, I guess what came through in the first quarter and/or an April, if there's any particular end market that stands out to you, sort of asking the question in the context of what we're seeing reports of some substitution, some eCommerce applications. Just curious what you guys are saying.
Thomas Hassfurther: Well, I would there's I mean, typically our markets are pretty steady throughout the year and some are seasonal and some art. But I would say that if there was any one segment that probably is changes on a more regular basis, it would be the eCommerce segment. Of course, we're come out of the fourth quarter, which is very heavy eCommerce. And then you get into the first quarter, which is less. So there's no question that some of the larger players in there have stated publicly that they're looking for ways to reduce their packaging expenses and have one way trips and things like that. So there's some going on there, but it's still growing, it's still going to be a big, big part of the market. And but that's the one that probably is more impacted. On the other hand, we've got other segments that could have been in RPC's as an example that are moving back to corrugated, for food safety reasons, for transport reasons, for what it - for a myriad of reasons, including sustainability and environmental. So these markets are very dynamic and you have pluses and minuses all the time. So it's kind of the things we face all the time in this competitive environment.
Gabe Hajde: That makes sense. I understood. I guess you didn't mention anything, Bob, in terms of repurchasing shares in the quarter. Has anything changed on the capital allocation front? Can you comment at all about what the acquisition market looks like in terms of valuations or anything like that?
Mark Kowlzan: Gabe, regarding a share buyback, obviously we didn't call out any shares bought back and a regard to capital. We're still on target for what we talked about in January, a little over 400 million, that hasn't changed. And then Bob, you want to add anything?
Robert Mundy: No, I'd say that the answer Gabe is similar to what we said last call is, we continue to evaluate all of our options. Where do they be, M&A related or dividends or share buybacks or are high return capital and that hasn't changed and that's continued to how - we'll continue to look at it that way for this year.
Gabe Hajde: Thank you. Good luck.
Mark Kowlzan: Thank you. Next question please.
Operator: Your next question comes from the line of Mark Wilde with Bank of Montreal.
Mark Wilde: Good morning.
Mark Kowlzan: Good morning.
Thomas Hassfurther: Good morning.
Mark Wilde: Tom, I wondered if you could give us a sense if you were running Wallula at that 400,000 ton level. What would your current integration Level B?
Thomas Hassfurther: Without doing the absolute math, it puts us back up into 95%, mid 90s area. So we're currently running a low 90s. You move back up into that mid 90s probably somewhere without having done the math yet.
Mark Kowlzan: As I've said before, Mark, we're going to continue to participate with our domestic customers, because we've got some long-term relationships there and with our export market as well. Bob, you want to…?
Robert Mundy: Yes. I was just saying, if you were saying, at current box demand, if that were the case, obviously that would - that that integration rate would go down. We're not going to call out what it would be. But as Mark said earlier, we're running Wallula that's we have runway there for our future and we're certainly running it in a way to match supply with demand. So - but certainly it would go down at current box demand.
Mark Wilde: Okay. And then just thinking a little bit further out, is it possible that you could stretch Wallula beyond 400,000 tons?
Thomas Hassfurther: Yes. If you ever recall, I did mention on the January call that for some - a certain amount of capital, we could spend some more money at Wallula, and stretch the Wallula Mill out to grow that capability.
Mark Wilde: Okay, all right. The last question from me is just when we think about the second quarter guidance. The guidance is essentially flat kind of year-over-year. But you had a containerboard hike last year and you've got a couple of paper hikes. So what are the main offsets when we think kind of just year-over-year in terms of things that are offsetting the benefit from the containerboard and paper hikes? Just the big buckets.
Thomas Hassfurther: Yes. The big buckets, Mark, would be certainly on the paper side. Our volume will be down because of the exiting the release liner business, so that that would be a drag. Fiber costs are certainly higher than last year, for the reasons we've talked about earlier. And just keep in mind too. As we said, when we with Wallula and W3, we're pulling a lot of real high costs fiber. It just everything - fiber is very expensive out in that part of the country, just like it is for everyone else. And so when you add, the volume we're adding from W3, and the fiber needs for that at a very high cost, then that metric alone is going to go up as well. Energy costs are up and then just inflation. We have inflation across labor and benefits as normal. But there's also a sizable amount of inflation and things that don't get talked about a lot of around repair materials, operating materials, rents, equipment rentals, building rentals, on and on and on. And we do have this year in the second quarter, the item we mentioned in the release about the accounting for a restricted stock issuance. It's just an accounting thing that just hits us this second quarter versus last year and it's almost about $0.04 a share. And then of course export prices, export prices are probably, $0.05 or show down from last year's levels as we go look at the second quarter. So those starting the gate that that price improvement we were getting on the paper in the packaging side.
Mark Kowlzan: Yes. In addition, Mark, I just add that, we had the risky move of $10, which came out of nowhere as far as we were concerned. It was a very large surprise. They're citing such a small portion of the market. And quite frankly, we didn't see any of it and we do participate in the outside market. So that was a big surprise to us and those even a $10 movement can be impactful.
Mark Wilde: Okay. Just slip one more. You've got almost $0.5 billion of cash, and it looks like you should be building more cash this year. Is there any kind of upper limit on what you're willing to hold in terms of a cash balance?
Mark Kowlzan: When we get there, we'll let you know. We'll talk about it then.
Mark Wilde: All right. We'll stay tuned.
Mark Kowlzan: All right, that will be a high class situation. Next question please.
Operator: Your next question comes from the line of Brian Maguire with Goldman Sachs.
Brian Maguire: Hey, good morning, guys.
Mark Kowlzan: Good morning Brian.
Brian Maguire: Just wanted to follow-up on that last comment you made around the change in, in linerboard prices. I guess my understanding had been you guys are highly integrated, so it would take more like a $20 or $25 cut in the published price before you'd see a material change in your selling prices. So when you talk in the comments around the 2Q guide around the lower prices being a headwind, are you talking specifically around export prices and some of the small sort of merchant open market board sales you're selling or are you actually expecting an impact on kind of box prices and box revenue in 2Q versus 1Q?
Thomas Hassfurther: Well, Brian, obviously, the biggest impact, short-term is going to be export given what's going on in the export market. That's certainly a drag. But even a $10 movement like that took place, I mean, we do have some contracts where that does kick in certainly in our domestic sales and on the box side as well. But regarding box pricing or something, I mean, we never discussed that at all. But it just goes to show that there's been a - as we've talked about in the past, the landscape has changed dramatically in this industry. And I think a lot of people try to speculate about what's going to happen going forward based on what happened in the past. And structurally, we're so different in this industry and so integrated that I think the - I don't think you can always find the answer in the past for what might happen in the future. And I get concerned about some of the speculation that goes on about what's going to happen with liner and medium prices. When you start talking about other factors, box markets are competitive, they're fluid and liner and medium is kind of a hedge in that market. But they're their own market. And what's going on there often has no impact, it doesn't result in anything in the liner and medium area. So going forward, I think, I still think that pulp and paper gets it right eventually, but sometimes in the short-term, we may disagree and in this particular case we do. It was a big surprise.
Brian Maguire: Got it. Understood. I just want to get your comment on your inventory levels in the Packaging segment, how you kind of see them versus where it gets like to be. And you mentioned kind of running for demand as you try and adjust those inventory levels to wherever you'd want to be. Would you envision needing to take any economic downtime in 2Q and is that sort of contemplated in the guidance you gave?
Mark Kowlzan: Well, again, using the term running to demand, we still have an outage at DeRidder in June that will take the machine down. And so as we finished up 2018 we knew we had to build some extra inventory to get through the normal outage activity in the first quarter until the early part of the second quarter. And we did that. And so we ended the first quarter right where we want it to and we're in good shape right now. So unless something changes in the economy, we're going to continue doing what we're doing and running in the mode that we're running. So I don't anticipate anything unusual, but again, that's where we are.
Brian Maguire: Okay. Thanks. I'll turn it over.
Mark Kowlzan: Next question, please.
Operator: Your next question comes from the line of Adam Josephson with KeyBanc.
Adam Josephson: Thanks. Good morning, everyone.
Mark Kowlzan: Good morning.
Adam Josephson: Tom, just one more on - good morning. Tom, just on the demand. I know you talked about the weather in March and to a lesser extent in February, and that adversely affecting demand to some extent. If we go back to say, middle of last year, that's when we started to see the industry growth slowing to about 0.5% or so, which has continued really into March. Are there other factors that you would point to the economy slowing, the ecommerce effect that you talked about earlier? How would you characterize the state-of-box demand today compared to where it was, say, and late 2016 and throughout 2017?
Mark Kowlzan: Well, let me start with that one and then I'll Tom finish up. If you think about last year, think about the news you watched every day in the morning and everything you read throughout the day. I'm talking about the uncertainty with the world economy. You've got the Chinese and North American and United States trade discussions going on. Europe it's just a lot of uncertainty worldwide with the economy. A day didn't go by that. Some news media was talking about that very fact. And so I think in Tom mentioned this earlier, that whether it's our customer base or customers in general, people are running their business a little tighter right now because of the uncertainty. And in fact, whether or not demand has slowed, there are segments, auto industries down. So I think there's just a lot of - if you look at European, German manufacturing index down during the first quarter. So there's some actual economic slowdown along with the uncertainty and I think began the some of the trade negotiations or creating some of the uncertainty and the actual slow down so Tom?
Thomas Hassfurther: Yes. Adam, in addition to Mark's comments, what I would say is, I would say a good way to look at this might be that we went through a very fast growth curve in this business do to eCommerce. I mean, everybody knows that it's kind a came out of nowhere and the demand went up dramatically. Ecommerce continues to grow, but it's not growing at the pace it was because it's not starting from infancy anymore, so even that business is becoming a little more mature. So if you looked at it and you said, well, over time we had this big spike in demand, we're still building on top of that spike of demand, which is good. But right now I think, and even and this was true last year as well. As I said, a lot of our customers are global suppliers and as things began to slowdown in elsewhere in the world that does translate back the box business because all this stuff does shipping a box, when it goes overseas. So those are kind of what I call the headwinds that we have, although I still feel good about the fact that we continue to grow on top of a much larger base.
Adam Josephson: Thank you for all that. Just one follow-up, you start off April 1 of about 0.5%. I know the comp is pretty tough. I think the comp for the industry, I know for you I'm not as sure, but I assume the comp gets appreciably easier in May and June. So in terms of the guidance that you gave for 2Q, are you at liberty to say roughly what rate of demand growth you're assuming for the quarter as a whole?
Thomas Hassfurther: No. We don't really make assumptions on that. We just we go by based on the facts that we know.
Adam Josephson: Thank you.
Mark Kowlzan: Next question please.
Operator: Your next question comes from the line of George Staphos with Bank of America.
George Staphos: Thanks guys for taking my two follow-on. I'll make it quick. Tom, back to e-commerce, certainly markets like apparel and electronics have been pretty well penetrated. There's some more to go. But there are other markets and there are other avenues of getting product to the consumer, whether it's a food, produce and so on that really haven't been penetrated yet. Recognize that might not necessarily be your key end market. Do you think there's a potential for e-commerce to see an improvement in the growth rate for corrugated consumption as some of these new markets, which are frankly bulkier and heavier goods, need more cargo or to get them get the product ultimately to the consumer? That's question number one. Question number two, back to paper. To the extent that you can comment historically, looking back, how long would it take you to get the uncoated free sheet price increase into the market, not expecting - not asking you to tell us this quarter about this increase, but historically, how many months will it take you to get that in? Thank you. And again, good luck in the quarter.
Thomas Hassfurther: Okay. I'll take your first one George, and I'll turn it over to Mark to take the second one on the paper. Yes, as I said, it's still a growth engine. Ecommerce clearly is still a growth engine. I think some of our ecommerce customers that you mentioned food and produce is still a great end market. It's going to require corrugated. It had some difficulty, I think penetrating and getting off the ground. It's not as obvious to a lot of consumers that they can do that and feel good about that. I still think, you know, when it comes to fresh food, I mean, they like to touch it and feel it and pick their own, if you will. So there's some - there's going to be some difficulties penetrating at like they'd like to, but I think there's going to be a large segment of the market that's going to go for it and they will continue to develop that. So that's clearly an opportunity within the ecommerce area. And there's others as well. They're going to try to make our lives as easy as possible and deliver something in a different way and reinvent the way, the way consumers purchase. And they'll do it in every market they possibly can and most of that will require corrugated boxes and that's good for our industry.
Mark Kowlzan: And then regarding the paper price timing. Historically, if you went back and looked once the index has picked up when you start moving price, it's about a three month period of time on average.
George Staphos: Thank you, guys.
Mark Kowlzan: Thank you. Are there any other questions?
Operator: [Operator Instructions]
Mark Kowlzan: Very good. Operators, it sounds if there are no questions, I want to thank everybody for joining us on the call and we look forward to talking with you in July. Thank you. Have a good day.
Operator: Thank you for participating in today's call. You may now disconnect.